Jens Montanana: Good morning, and welcome to our FY '26 interim first half results. As per our usual format, I'll be providing a summary followed by the CFO's presentation on the financial results and then followed by my operational review of the divisions and finally, the concluding slides. Our results summary. Slide 4. We had an exceptionally strong H1 performance. All the group's divisions delivered strong year-over-year increases with higher profits, better margins and good working capital management. These results translated into a staircase of improvement down the P&L with strong operational leverage. Gross sales grew by 9%, gross profit close to 12%, adjusted EBITDA by 22% and underlying earnings per share jumped by 43%. The strong profit improvement and enhanced dividend payout ratio from last year led to a significant increase in our interim dividend, up from USD 0.043 to USD 0.10, an increase of 133%. As seen with the reporting of many tech companies, an AI-led generational upgrade to more advanced computing is beginning. It is hard to predict how long this will take or what impact it will have. But if is like previous technology cycles, it will be evolutionary and take time to mature. The ubiquity of AI will eventually augment all uses of technology and will drive faster networking, distributed data centers, more local computing and increased cyber threats. If we can continue to adapt and operate in the right areas of our industry, then the future is very bright for all our businesses. The profitable progress across our divisions is well anchored and the fundamentals are strong and sustainable. A remarkable transformation in our business mix. Not so many years ago, the vast majority of what we sold was mainly hardware with attached services driving just over 10% of the total sales. Today, that ratio has completely turned around with over 70% of our total sales or gross invoice income derived from software and services, while the vast majority of that is also recurring. As the businesses grow in a predictable way, so do the margins and profits as the leverage rises. We believe we are very well placed to continue to ride the core technology trends that we have long been associated with. I will hand over now to Ivan to go through the financial section.
Ivan Dittrich: Thank you, Jens, and good morning, everyone. We are very happy to present another set of excellent results with continued strong operational execution. As we indicated in our trading update issued earlier this month, with effect from this financial year, we have changed the definition of underlying earnings per share to further align to our adjusted EBITDA definition and to also align with peer reporting. Underlying earnings per share now exclude IFRS 2 or share-based payment charges. The comparatives have accordingly been recalculated. Slide 8, the P&L. Revenues continue to be impacted by an increasing portion of software and services being accounted for on a net basis, including as a result of the accounting policy change in Westcon in the prior year. Revenue from sales arrangements where the company acts as an agent is accounted for on a net basis and the commission or gross profit earned on the transaction is recognized as revenue. Where the company acts as a principal in the transaction, the revenue is recognized on a gross basis. To get a sense of the real growth in the business, we therefore now show gross invoiced income or gross sales, which is not an IFRS term. Gross invoiced income grew by 9.4%, but more importantly, absolute gross profit grew by 11.7%. We had strong operating leverage with adjusted EBITDA growing by 22%. Reported EBITDA grew by 36% and included $15 million of settled tax litigation credits in Westcon, which are excluded from adjusted EBITDA. Finance costs were significantly lower than the prior year due to lower rates and efficient working capital management. Our quality of earnings down the P&L continued to improve. Our PBT or profit before tax increased by 92% with an increase of 43% in underlying earnings per share and HEPS more than doubled. Slide 9 shows the segmental income statement. This shows very pleasing improvements in gross profit to EBITDA conversion ratios in both the Logicalis businesses with a steady state in Westcon. All 3 divisions had solid operational execution during the period. Slide 10. The geographic mix of our businesses has remained relatively stable year-on-year with Europe representing about half of the group. We have once again seen an increased contribution from Asia Pacific. Fundamentally, our business involves selling U.S. technology complemented by local services. Over 90% of our business is outside the U.S. Slide 11. Software and services continued to grow, driven by growth in annuity business. This analysis is presented on a gross invoiced income basis. Slide 12, the group balance sheet. The balance sheet remains strong. Net debt reduced significantly from the first half last year, driven by tight working capital management with large reductions, especially in the 2 Logicalis businesses. Equity reduced due to a $73 million debit cash flow hedge reserve in Westcon. This resulted from Westcon's hedge accounting program and is due to the much weaker U.S. dollar prevailing during the first half. Slide 13 shows the divisional balance sheet and all the divisions have healthy balance sheets with strong liquidity. Slide 14, the cash flow statement. Despite the high growth during the period and resulting increased working capital requirements, especially in Westcon, operating cash generation improved over the prior year. Cash interest payments reduced, and we saw an increase in cash and cash equivalents compared to the prior year's first half. We have declared an interim dividend of USD 0.10 in line with our dividend policy. I will now hand over to Jens to cover the remainder of the presentation.
Jens Montanana: Thank you, Ivan. Starting with the Westcon International division, Slide 17. All regions had robust sales growth. Demand for cybersecurity continues to climb in a continually increasing threat landscape environment. The strong financial performance and working capital management is delivering good cash upstreaming to the parent. Operational execution remains excellent, and the levels of service to customers and employee satisfaction are very high. The company has been certified in 27 countries by the Great Place to Work organization. Gross invoiced income or total sales grew by close to 10%. This healthy improvement came with continuing faster growth from recurring revenues, which grew by over 17%. The trend of growing recurring sales continues as hardware as a percentage of the total sales is now below 30%. Illustrating this point is the greater proportion of software in the mix. This shows that while gross invoiced income continues to rise, so does the element of net accounting. There was healthy volume growth in all regions reflected by growth invoiced income, while reported revenues remained similar. Asia Pacific and the Middle East and Africa had the highest growth rates. Gross invoiced income analysis. Both business units grew. The C store Cisco segment grew by 2%, while other technology sales from mainly cybersecurity vendors represented by the Westcon brand grew by 14%. The main customer base of SMB value-added resellers remains the majority of the business and has been very constant. There was an increase in sales to large global major telco service providers. All technology categories grew in absolute terms, but cybersecurity continues to grow the fastest and now drives more than half of the total sales. The cybersecurity category grew by 16% year-over-year. Software and services now represents over 60% of the mix and hardware less than 30%. This is a significant change to the segment sales mix and a complete reversal from a few years ago. Gross profit. Gross profit grew by 14%, significantly more than the increase in gross invoice income. This was almost entirely due to the release of various tax claim provisions that had been held previously. Adjusted EBITDA, this represents the true underlying trading picture and grew by 7.3%. In the early part of H1, there was a fairly abrupt weakening of the dollar. On a translated basis, this raised the U.S. dollar stated fixed cost base, especially in Europe, where all the costs are in euros and pounds. The impact of this was offset by good EBITDA growth in Asia Pacific and the Middle East. Europe continues to drive the majority of the total EBITDA. Reported EBITDA was boosted by the unwinding of previously accumulated tax provisions. The company has always taken a conservative approach in this regard and creates a buffer for potential tax claims, if likely. EBITDA increased by $20 million or almost 30% overall to $90 million. Working capital management. Overall, net working capital days fell slightly since year-end, but more significantly compared to the prior half year. Payables outstanding and payables days rose, driven by the strong top line growth and longer managed creditors arrangements. This flexibility helps drive business opportunities and reduces the working capital. Debt cycle. The working capital movements are represented graphically in this monthly chart, which shows the last 3 years of debt cycles. Debt falls at the end of financial quarters and especially at the half and full year-end, but then rises in between these periods with January being the peak. The plotted average of this over the past 3 years has been net debt of approximately $260 million. The environment remains robust with the business locked on to multiple positive themes across all its markets. Many technology areas are being fueled by accelerated AI demand. Cybersecurity remains one of the fastest-growing segments, while a new generation of networks is evolving to provide connectivity to vast hyperscaler communities. While there may be challenges to global trade from tariff imbalances and supply chain lead times, this appears to be a little consequence to technology demand, which remains very vibrant. Moving on to the Logicalis segment. And firstly, Logicalis International, Slide 30. Good top line and revenue growth. There was a strong order book with good momentum with multiyear contracts. Growth in higher-margin recurring sales and much better profitability, cash conversion and reducing debt. Overall, the leverage in the business model is coming through. Gross invoiced income. There was strong growth in gross invoiced income as total sales grew by over $100 million or 11%. As a percentage of the total sales value, the recurring element is now over 60% of the total. The increases in gross invoiced income and reported revenues were spread across all regions. Europe and the U.S. are similar in size. However, the U.S. has a greater net accounted software and vendor resold maintenance proportion. This explains the delta to reported revenue. Cloud-delivered and hybrid solutions requiring managed services were the fastest-growing segments. The segmental analysis at the top line shows all service types combined are now over 70% of the mix and annuity managed services forms approximately half of that. Managed services grew by 17% to become 35% of the total mix and cloud-derived sales grew 17% to represent close to 1/4 of the gross invoice income. Gross profit. The gross profit percentage increase was slightly higher than the rise in gross invoiced income, resulting in another uptick in gross margins to close to 30%. These best-in-class margins reflect the multiyear transition from what was mainly a product supply business to now a technology and managed services provider. Adjusted EBITDA. The expanding margin dynamic, coupled with controlled operating expenses drove a big jump in adjusted EBITDA of 36%. We are approaching the high end of the EBITDA margin zone targets we set out a few years ago, and we are now targeting gross profit to adjusted EBITDA conversion of over 30% from the 29% today. Reported EBITDA mirrored adjusted EBITDA rising 37%. All regions had strong growth with the U.S. driving the largest contribution of around 50% of the EBITDA mix. EBITDA margins still have the potential to go higher as previous loss-making or low-profit countries such as the U.K. and South Africa are performing better now and with much improved profit trajectories. Inventory is structurally lower, driven mainly by less hardware and more software in the mix. Strong sales growth in the period increased accounts payable. Good collections on the debtor side kept accounts receivable at a constant level. The overall cash generation was strong, leading to a big drop in net debt to $24.9 million. Cybersecurity is becoming an increasingly important area of focus and growth opportunity. The path of networking is increasingly interwoven with cybersecurity, for example, Cisco's recent purchase of Splunk and Palo Alto's acquisition of CyberArk just illustrate how these major technology areas are overlapping. AI will fuel more of this and is also driving a resurgence in enterprise computing with many more hybrid cloud solutions being adopted. All of this is driving more software and services. Lastly, Logicalis Latin America, Slide 40. Finally, a positive pivot for the business after a few years of poor performance and necessary reorganization. Areas of concern remain such as Mexico. Overall, the region has done better with Brazil, the largest market leading the way and with recent improvements also in Argentina and Chile. Better gross margins, lower operating expenses and improved cash generation resulted in a much better quality of EBITDA and profits. Gross invoiced income. Gross invoiced income was flat year-over-year. However, within that, the recurring element grew by 20% and is approaching half of the total sales value. This shift has occurred with a growing and more diverse customer base and with an increase in multiyear managed services contracts. The region of NOLA, Northern Latin America was poor, mainly dragged down by Mexico and Colombia. Tariff uncertainties and execution issues have been more impactful in that region. Brazil and Southern Latin America, SOLA performed much better and combined were almost 90% of the total revenue. The growth in reported revenues came from the increased annuity managed services contracts, which are gross reported. Managed annuity services have risen faster than anything else and are a reflection of more longer duration contracts. Overall, hardware and software sales remains pretty similar. There was good growth in the small but growing cloud segment. Gross profit. The quality of gross profit improved mainly from Brazil to $51 million in total. The gross margin percentage ticked up slightly from 22% to 23%. Adjusted EBITDA, a very pleasing result down the P&L. Adjusted EBITDA doubled to $12 million, a meaningful bounce back from the past 2 years' poor performance. The combination of better gross margins and lower operating expenses provided the leverage. Reported EBITDA. At a reported level, EBITDA also rose to $12 million. The prior year's base was slightly higher due to the inclusion of positive tax items. Working capital management. The more diversified business model has grown the number of enterprise customers and is less reliant on large telco clients. The result is a better balance of diversified receivables with less lumpy revenue streams. The working capital management was excellent and led to a modest positive net cash position at the half year-end close. Overall, a very pleasing set of results. Many things are getting better, but a lot still has to be done. The focus on diversifying the business is starting to work with better margins, longer-term contracts and improving cash flows. Mexico needs to recover and attention is being focused there. We have confidence that the overall execution will continue to improve. Additions to the executive team are having a positive impact. And finally, just moving on to some closing remarks. To summarize, we expect the robustness of the first half to contribute well to the full year. We seasonally have a stronger performance in the second half. The AI momentum underpinning the rebuild and upgrades for technology infrastructure is no longer just focused on hyperscalers, but increasingly moving to enterprises and most businesses. We remain focused on maximizing the value to shareholders and for the benefit of all our stakeholders. Thank you very much, and I'll hand over now to any questions.
Sharne Prozesky: We've got our first question from Katherine Thompson from Edison. You mentioned better GP to EBITDA conversion in Logicalis International. Could you summarize the target for each division or group for this metric?
Jens Montanana: Yes. Okay, I can take that. I mean, obviously, we operate in a universe of other publicly traded comparables. So this is not necessarily just a benchmarking for our AM driven from our own extrapolations. And we think to get to the right balance between growth, EBITDA conversion and absolute EBITDA dollars that these ratios should be in the low 30s, in the low to mid-30s. They're slightly higher in the distribution business, where the operations are less people intensive and in Logicalis and the broader IT services universe, best-in-class competitors are generally around 30% or mid-30s. And by the way, on that point, the gross profit to EBITDA conversion, it's become -- it's always been an area of focus, but it's something we report on because obviously, the changing top line with the way that we IFRS revenue...
Ivan Dittrich: And the way that we report revenue and with sort of more revenues being net account and net accounted, your EBITDA margin becomes less and less relevant, and it's more sort of the absolute gross profit that you generate, i.e., the dollars you bring in the door and then how much of that converts into EBITDA, which demonstrates the operating leverage.
Sharne Prozesky: We have next -- another follow-up question from Katherine Thompson. Could you give a bit more detail on the Logicalis International multiyear contracts, verticals, geo and type of business?
Jens Montanana: The -- well, we have managed service contracts. There's no -- they're not geographic. They're spread -- this trend towards more managed services in Logicalis is not country specific. So it's most probably similar in most regions. There is a slight difference in the amount of software that's sold in some regions versus other regions. And in the U.S., for example, there's a higher mix of vendor resell maintenance. So you see the difference between gross invoice income or, let's call it, top line sales and reported revenues, that difference is greater in the U.S. than in other markets. But other than that, there's not -- there are not any particular sectorial or geo reasons for managed services growth. It's really more. The driving factor is customers are increasingly looking towards their IT provider to provide them with both infrastructure and the service of that infrastructure on an ongoing basis of OpEx versus CapEx. That's the big driver.
Sharne Prozesky: Next question from Ruan Koch, Coronation Fund Managers. Do you expect further improvements in the working capital cycle across any of the segments as mix changes? What impact will that have on your free cash flow generation?
Ivan Dittrich: Yes. So Ruan, I think the sort of the most important thing here is sort of with the move towards more software, you will have less inventory, less physical inventory. So that clearly sort of has some working capital benefits, especially in the Westcon business, which is our most working capital-intensive business. That said, as a distribution business and a channel intermediary, Westcon is still a major credit provider in that supply chain. And typically, with the distribution business, when the business grows strongly, you typically have sort of large cash outflows as you invest in your working capital. But I would say, in general, the quality of our working capital management has improved significantly compared to previous years. It's a lot more efficient. And you can also see that from looking at the operating cash flows that we had during the 6 months period that we're reporting on now because despite the very strong growth, we still had a very decent operating cash performance. In the Logicalis businesses, which are generally less working capital intensive, one would expect that the bulk of your operating cash would essentially -- so the bulk of your operating profits would essentially convert into cash.
Sharne Prozesky: Okay. Next question from Mike Steere. Do you expect the increased share of software and services to continue? Or do we eventually see a hardware refresh cycle?
Jens Montanana: Yes, good question. Look, there is a hardware refresh. There's 2 sides to this. There's going to continue to be a relentless rise of more software and services in the reported mix. But the reality of the hardware that's being shipped when measured in hardware processing capacity or other physical metric is going up as well. What's changing is the value that's apportioned to the hardware is going down and the value that's apportioned to the software or the intellectual property is going up. So that's changing our invoice value mix, the hardware. And we're seeing -- to be honest, we're seeing a bit of a resurgence in hardware in the numbers that we're reporting, and this is what you hear about all the time in terms of the AI infrastructure boom and so on. That's ongoing, and we think that's going to be a multiyear play from here on in or here on out.
Sharne Prozesky: Next question is from Katherine Thompson again. Should we expect your M&A strategy to continue to be focused on small bolt-ons rather than anything more transformative?
Jens Montanana: Yes. We haven't done much M&A in any of our main divisions in the last in almost the last 10 years actually. And where we do, do M&A, we look to basically augment our fairly -- our mature businesses normally through skills acquisition or there's an area or domain, the technology domain where we think we can advance faster through M&A versus doing it organically. I must also point out that since our results in good results in May and continuing, we continue to be inundated with bankers and would be investors with inbound inquiries, selling, buying. So it can tell you -- it just tells you the environment at the moment has bounced back quite a bit in terms of M&A activity. And of course, we think that will most probably continue to fuel things going forward.
Sharne Prozesky: There are currently no other questions.
Jens Montanana: Great. Okay. Well, thank you very much for everyone for attending online here, and we look forward to seeing you or talking to you rather, sorry, at the full year results in May. Thank you very much.